Operator: Hello and welcome to the third quarter earnings conference call for Amphenol Corporation. Following today’s presentation there will be a formal question-and-answer session. (Operator instructions) At the request of the company, today’s conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to introduce today’s conference host, Miss Diana Reardon. Ma’am, you may begin.
Diana G. Reardon: Thank you. Good afternoon. My name is Diana Reardon and I am Amphenol’s CFO. I am here together with Martin Loeffler, our CEO and Adam Norwitt, our COO, and we would like to welcome everyone to our third quarter earnings call. Q3 results were released this morning. I will provide some financial commentary on the quarter and Martin and Adam will give an overview of the business and current trends. We will then have a question-and-answer session. The company had a record third quarter, exceeding the high end of our guidance in both sales and earnings per share. Sales for the quarter were $864 million, up 18% in U.S. dollars and 16% in local currencies over the third quarter of 2007 and from a sequential standpoint, up 2%. Organic sales growth, excluding acquisitions and currency effects in Q3 over the prior year was 12%. Breaking down sales into our two major components, the interconnect business, which comprised 91% of our sales in the quarter, was up 19% compared to last year. Interconnect sales increased in most of the company’s end markets. Our cable business, which comprised 9% of our sales, was up 4% from last year as a result of increases in international broadband cable television markets. Operating income for the quarter was strong at $171 million, compared to $143 million last year. Operating margin was 19.8% compared to 19.5% last year. The margin improvement relates to increased margins in the interconnect business. From a segment standpoint, the cable segment margins were 11%, down from 12.7% in Q3 of ’07, and 11.5% in Q2 of 2008. The margin reduction reflects the significant impact of higher material costs which, for this business, are primarily aluminum, plastics, and copper, a portion of which has been offset by price increases. While plastic costs have continued to increase, metal prices have declined at the end of the third quarter. In addition, the company recently implemented further domestic sales price increases. To the extent that material prices stay at current levels, we would expect some margin improvement in Q4 as a result. The interconnect segment margins were 22.3%, up 40 basis points from last year. The achievement of these strong margins, given the current inflationary cost environment, is a significant accomplishment and reflects the company’s dual focus on driving strong top line growth at higher margin performance enhancing interconnect solutions, in addition to a very strong focus on all elements of cost. Our operating units continue to work hard every day to keep our overall cost structure low, providing the company with increased flexibility in dealing with uncertain market conditions. Overall, we are very pleased with the company’s margin achievement. Interest expense in the quarter was $9.8 million, compared to $9.4 million last year. The increase over the prior year relates primarily to higher average debt levels in the 2008 quarter reflecting borrowing to fund Q1 stock repurchases. Other expense was $3.3 million compared to $4.7 million in Q3 of 2007 and $2.3 million in Q2 of 2008. The decrease from last year relates primarily to decreases in fees on the company’s accounts receivable securitization program and higher interest income. The increase for Q2 relates primarily to higher minority interest expense. The company’s effected tax rate in the third quarter was 28.6%, down from 29.5% in the first half of 2008. The lower tax rate reflects adjustments to tax reserves relating to the completion of the audit of certain of the company’s tax returns. For the third quarter and the year 2007, the company’s effective tax rate was 29.2% and 29.5% respectively. We currently expect a tax rate of 29% for the full year 2008. Net income was $113 million, approximately 13% of sales, a very strong performance on any industry comparative basis. And diluted earnings per share for the quarter was $0.63, up 26% from last year. The company continues to be an excellent generator of cash. Cash flow from operations was $105 million in the quarter. This is a net of a $20 million contribution to the company’s U.S. retirement plan. For the nine months ended September 30th, the operating cash flow was approximately 97% of net income. The cash flow from operations and $34 million in proceeds and tax benefits from option exercises were used to fund capital expenditures of $33 million, $1 million in acquisition related expenditures, debt reduction of $48 million, and $5 in dividend payments. In addition, cash and short term investments increased $47 million to $247 million at the end of the quarter. In addition to its strong operating cash flow and cash investments, the company has additional liquidity in the form of availability under its revolving credit facility. The company’s $1 billion revolving credit facility is provided by a 25-bank group and expires in 2011. Availability under the facility was $225 million at the end of September. The company has more than sufficient liquidity to meet all of its needs. Borrowing under the facility was $760 million at the end of September, of which $650 million is swapped to fixed rates through December 2009 and July of 2010. The remaining borrowings are at a spread over LIBOR rates. The company also has $100 million receivable securitization program under which $85 million in receivables were sold at the end of September. Fees on receivables sold at are a spread over commercial paper rates. As a majority of the company’s borrowings are at fixed rates, we did not anticipate this occurrent tightening of credit markets and the related elevation of short-term rates will have significant impact on the company. The balance sheet is in good shape. Accounts receivables days outstanding were 70 days at the end of September, up one day from the end of the second quarter; reflecting normal heavier weighting of sales in Q3 towards September. Inventory increased slightly from Q2 levels and inventory days remained at 82 days. That was $771 million at the end of the quarter compared to $722 million at year end reflecting borrowings to fund the stock buy back in the first quarter. That was down about $48 million from the end of Q2. The company’s leverage and interest coverage ratios remain very strong at 1.1 times and 17 times respectively. And EBITDA in the quarter was approximately $201 million. Orders for the quarter were $865 million of book to bill ratio of approximately 1 to 1. Certainly from a financial perspective it was an excellent quarter. Before Martin and Adam provide an overview of the business, I would like to make a few comments relative to the impact of foreign exchange rates and tax rates on our Q4 guidance. As is the company’s practice, our guidance is based on foreign exchange rates at the time guidance is given. Accordingly, the new Q4 guidance incorporates a much stronger U.S. dollar relative to the euro and the Korean wan than the guidance given in July. This has the impact of reducing U.S. dollar sales per Q4 by about 4% or $35 million versus the prior guidance. In addition, on a quarter over quarter basis, Q3 versus Q4, the translation impact is a reduction of about 3%. I would also like to point out that the tax rate assumed in the Q4 guidance is about the same as the rate in Q3 or 28.5% bringing the tax rate for the full year to about 29%. Martin and Adam will now provide an overview of the business.
Martin H. Loeffler: Well, thank you very much Diana and thank you all for joining us at this traditional conference call at the time of our earnings release. As in the past, I will highlight some of our third quarter achievements and Adam will then discuss the trends and the progress in the markets that we serve and I will close with comments on the outlook for the fourth quarter and the full year 2008. Overall, we are extremely pleased with the third quarter results. They were strong in all respects. We set new records in sales and earnings and we sustained our long-term trend in industry leading growth and profitability in an environment that is increasingly challenging and unstable. We are also very pleased that Amphenol was in the third quarter recognized for its sustained and consistent performance over many, many years by inclusion of Amphenol’s stock in the S&P 500. Some highlights to sales. Sales increased a strong 18% over prior year in a truly uncertain demand environment. Growth was broad based across nearly all of our served markets and the strongest growth we achieved in the global communications market including the mobile device and mobile infrastructure markets as well as in the military and the aerospace markets. We are very pleased also that sequentially we increased our sales by 2% over our record achievements in the second quarter. This is particularly pleasing as typically the third quarter is, seasonally, a slower period. It is hard to say in our current environment what is typical but clearly we are very pleased about that sequential increase. This increase over the second quarter was primarily driven by some earlier than expected increase demand in the mobile device market and some effects from the infrastructure rebuild especially in cable following the hurricane in the Southwest. We are very pleased with these results as they are clearly showing that we continue to gain position through a strong focus on advanced technology across all of our served markets. Our new products are really gaining momentum and we are very pleased to see the customers accept them on a broad basis. We are also benefiting from our diversity and broad global presence with our continued strength in emerging markets. India, China, South America and Africa are clearly contributing strongly to the growth that we have been able to achieve. Also, the pipeline of its acquisitions continues to be healthy. We have not seen in the kind of talking acquisitions that we are talking about and that we are looking for any change really in valuations at that point and time. Obviously, owners and entrepreneurs have their opinion what prices they would like to sell their companies on timing of some of these irons that we have in the fire is not very easy to predict, but we are confident that our acquisition strategy is very much alive. We are also very pleased with the continued profitability and cash flow, which remains strong in the third quarter. We achieved a strong, 19.8% operating margin despite a continuing difficult cost and pricing environment. Yes, we have seen commodity prices and costs coming down, but we feel that there is a strong lag between what we are buying—which are converted material—to the fewer commodities pricing that is established. We are very pleased with the strong increase of EPS, 26% over prior year to a new record of 63 cents a share. Net income, as a percent of sales, was 13%, which is another indication of the financial strength of the company. Diana mentioned that our cash flow remained also strong, at 105 million essentially net income, and most of that reinvested in our business, $33 million dollars in new capital for new products that certainly drive our future growth. We feel that the strong profitability is a direct result of our excellent operating leverage on incremental sales. It is our continued focus on high-evaluated segments of the markets, and our continued scrutiny of all elements of costs. Most importantly, in this environment though, it is a result of our dynamic organizational structure that allows us to adjust very, very quickly to changing market environments. Adam will now comment on the trends in the various market segments. Adam.
R. Adam Norwitt: Thank you very much Martin and Diana, and just to reiterate what Martin said, we feel very pleased with our strong performance in the third quarter, and this performance really was a result from our focus, and our continued focus on performance enhancing technologies for our customers, a strong drive for end-market diversification and a continuous drive for geographic expansion. Amphenol continues to make progress in all these areas, which have helped to create these strong results and challenging circumstances. I will now review the progress in each of the served markets in which we participate. The military and aerospace market for Amphenol represented 19% of our sales in the quarter, and sales increased in the market a very strong 18% over prior year. Demand remains healthy in the military aerospace market, driven in large part by continued military equipment deployment and refurbishment, including especially that related to ground vehicles and new communication systems upgrades. While we see that distribution, which is an important channel for that market, may be conservative with their inventory positions in light of the general economic conditions, we still feel good about the momentum in that market. Although the timing of government funding releases could impact demand in the short-term, we believe that our broad program participation in all segments of the military and aerospace market will drive growth into 2009. In the industrial market, which represented 11% of our sales, sales increased 8% over prior year. In this market, OEM program gains especially in energy related and rail mass transit applications were partially offset by moderate demands in other segments of the industrial market. We feel very good about the progress we make, especially in alternative energy applications, but clearly, there is some impact in this market related to construction equipment. We expect these growth segments to continue to drive demand in the industrial market into the future. The automotive market represented for Amphenol 7% of our sales in the quarter. Sales in this market were essentially flat to prior year, but were down in local currencies. We experienced, as expected, a seasonal softness in the market in the third quarter, and in addition, there was a more pronounced slowing in vehicle production, which offset the expected ramp ups of new products and new customers. The near-term outlook for the automotive market for vehicle production levels is clearly uncertain. Nevertheless, we are encouraged about the longer-term outlook for Amphenol in this market, due to our increased presence on the electronics sales and materials in the car, as well as our strong presence in the new, hybrid platforms, which will be coming out over the next several years. In the broadband market, the broadband communication over hybrid fiber-coax networks, this represented 10% of our sales, and sales increased a healthy 10% over prior year. As Martin indicated, we saw some demand in the quarter relative to rebuild activities from the storms, but in addition, we had ongoing price increases in the market, but which were offset by continued pressure on raw materials, especially that related to plastics. As in the past, we think that availability of capital could potentially impact the broadband market going forward, and we do expect that demand in the fourth quarter will seasonally moderate. Nevertheless, we have increasing high technology interconnect content in broadband equipment, which continues to creates new opportunities for Amphenol and we see that new high technology interconnect drive helping to drive growth in that segment. The information technology and data communications market represented for Amphenol 22% of our sale. Sales in this market increased to a strong 12% over prior year, which is driven by accelerating new customer and new product ramp up as well as increases in our positions with key customers. We continued to build in this market on our distinct competitive advantage of offering a complete interconnect system architecture. There is no question that our offering in this market is creating a tremendous momentum among all of our leading customers. While we see some moderation of demand in certain corporate and carrier related segments of the market, our continued achievement and broad design wins with new high speed products, creates confidence for further expansions of our market position in the IT and Telecom market. The mobile networks market represented for us 14% of our sales in the quarter and it increased at very strong 23% over prior year, and this is in a market with very moderate growth. Most of our customers are reporting flat or very minimal growth, as we continue to take share in this market. We are benefiting from the strong demand and site installations especially in emerging markets like China and India, as well as from a broad presence on high volume as well as latest generations 3G equipment platform. We do expect some seasonal moderation in the fourth quarter but we believe that subscriber growth and new data services combined with the new design wins that we continued to achieve provide a good future outlook for the mobile networks market. The mobile devices market, represented for us 17% of our sales in the quarter and sales increase was an extremely strong 44% over prior year. Our strong growth in this market continues to be driven by a successful introduction of a broad range of innovative, new products across a wide variety of customers and a wide variety of mobile phone platforms. We expect moderating growth rates in the fourth quarter, but this is somewhat based on the stronger than expected demand that we saw in the third quarter. In this market we are truly excited about the innovative technologies in mobile devices which are driving growth for Amphenol in this quarter and beyond. With that I will turn it to Martin, who will now provide some comments on the outlook for the remainder of 2008.
Martin H. Loeffler: Thank you very much, Adam. Clearly in summary, we are very, very proud of our organization as we continue to execute well and achieve superior growth and profitability in an increasingly challenging and unstable demand environment. In such an environment our distinct competitive advantage will serve us well. Our leading technology, our increasing precision with customers in diverse markets, our worldwide presence, and our flexible cost structure and entrepreneurial management. Forecasting in this environment, though, becomes very difficult. We though, feel very confident in our own ability and the ability of our organization to meet the challenges and to take advantage of the continuing opportunities that we see in front of us. Accordingly, as far as outlook is concerned we are confirming the high-end and narrowing the range of our previous outlook for the full year 2008, and expect the following based on stable currency exchange rate. And the exchange rate that we see at the beginning of this quarter. For the full year 2008, we expect sales in the range of 3.292 billion to 3.308 billion, an increase of 15% to 16% for the year. EPS, we expect in the range of $2.36 to $2.38, an increase of 22% to 23% over 2007. This is a very strong and new record year for Amphenol under this guidance. The guidance for the full year is based on the stronger third quarter results and the fourth quarter that incorporates the impacts of a significantly stronger U.S. dollar, as Diana outlined. In other words, at the same exchange rate that we had in July, Amphenol would have reported another peak and rise guidance at this point in time. However, the operational performance increase that we – above the guidance – that we achieved in the third quarter is essentially offset in the fourth quarter by the currency exchange rates that we are now facing. So in essence, we really have not changed our outlook from an operational standpoint that we gave in July. For the fourth quarter, consequently, we expect our sales in the range of 810 to $826 million at this currency exchange rate, and EPS in the range of .58 to $0.60 a share. Overall, we are very encouraged since we have, really, not changed what we assumed would happen sometime this year, later in the second half, a slower demand level, and very pleased that we are well positioned and encouraged by our achievements in the third quarter and prior, to build a strong fundament for our growth and the potential to continue, especially in this demanding environment, to continue to create substantial value for our shareholders. Thank you very much, and with this I would like to open it to any questions that you may have.
Operator: Thank you. We will now begin the question and answer portion. (Operator instructions). Our first question comes from Steve Fox from Merrill Lynch.
Steven Fox – Merrill Lynch: Hi, good afternoon. Two questions please. One, obviously the economic environment is very uncertain. I was wondering if you could talk about potential contingency plans for next year if demand was to get dramatically weaker, what you could do to protect your earnings and any other comments about how you would react in a down turn. And then, secondly, Diane, if you could just give us the amount of cash that is offshore at this point.
Diana G. Reardon: Sure. Maybe I’ll start with the second question first, and then Martin can answer the first question. The large majority of the cash is outside the U.S. at this point.
Martin H. Loeffler: As you know, Steve, as far as contingents are concerned, Amphenol has pursued the strategy in good times, in difficult times, and to continuously focus and stringently review cost levels and that has not changed. In our very distributed organizational structure, we look at all these over 60 operating units on an ongoing basis to see where the performance levels are, where margin opportunities exist, where cost opportunities exist, and that will continue. We are very, very well positioned to very rapidly adjust to any changes in the environment. So, we are not implementing contingents to say, you know, across the board we would cut headcount, across the board we would do this. But, we are clearly pursuing the opportunities at this point in time, vis-à-vis our vendors, to go for cost reductions that are, you know, driven by lower commodities and other things, to build in a lower base of costs across the board.
Steven Fox – Merrill Lynch: Thanks, that is very helpful.
Martin H. Loeffler: Thank you.
Operator: Our next question comes from Jim Suva from Citi.
Jim Suva – Citigroup: Great, thank you very much. Can you briefly talk about, kind of, your cash position right now? You paid down some debts this past quarter, maybe priority uses for cash. Maybe rank them, you know, debt pay down versus MNA. I heard your comments about the pipeline remains robust for activities for acquisitions, but yet you mentioned that it seems like some of the family run or private investors had not really seen their valuation multiples come down. I just wonder if you think that they will, given everybody sees the news every day at night about things slowing, and do you think that you could actually still have adequate capital to make MNAers they use to lever down the balance sheet?
Diana G. Reardon: Sure, let me just maybe start with the first part of that question. The company, you know, remains a tremendous cash machine. I mean, we have more than enough liquidity through the strong cash flow, cash on hand, and the availability under our revolver to meet all of our needs. And, in terms of the priority for the deployment of that strength, you know, the first priority that we have has not changed, and that continues to be to invest in the business, both from an organic standpoint and to fund the tuck-in acquisition program. And maybe, Adam, when I am done answering the cash question, can talk a little bit more about the acquisition strategy. I mean, we look at the remaining cash flow, and we look at dividends, we look at debt service, we look at stock buyback as other options for the company. I think given the current, you know, unprecedented turmoil in the credit market, it really seems prudent, at this time, when we look at those options to favor the application of operating cash flow to the reduction of borrowings under the revolver, which really maximizes the future flexibility for the company. If we want to deploy that cash, you know, towards acquisitions, as an example. I think we will continue to sort of look at how things play out in the credit market and adjust the priorities as we feel are appropriate, given, you know, how that all ends up.
R. Adam Norwitt: And just, relative to the acquisition environment in general, Jim, I think that we do not see that these broad macro trends impact necessarily. As Martin said, the desires or the valuations at which, you know, small entrepreneurially run organizations would be sold. I mean, our strategy all along has been to incubate relationships with strong entrepreneurs who have strong technology in their business, and eventually bring them into Amphenol, if it makes sense for both sides. Oftentimes what makes sense for both sides is not driven by capital availability or general market multiples. It is rather driven by really, you know, a win-win solution that, and many times includes some earn-out structures for the acquisition. So, it is actually, it is hard to say, you know, that the, that what is on the cover of the Wall Street Journal is driving, necessarily, the multiples or the valuations of some of these entrepreneurs. Clearly, for larger acquisitions that may be in the market, you know, the owners, some of which are financial sponsors, could have their behavior changed by the capital markets and the multiples that are out there, and that may cause them to be less or more inclined to sell depending on their own liquidity circumstances and I think again we are opportunistic in those cases and we will keep close to those situations.
Jim Suva – Citigroup: And a quick follow-up on your strength sectors in military and aerospace, which have been fabulous, can you talk a little bit about, I mean, we got a strike going on at Boeing right now, but I believe you are the largest persons is actually, Airbus there and also about military and the election coming up, do we face some volatility and uncertainty around that or do you have more longer-term contracts, where they are just stable regardless of elections and our position in the war.
R. Adam Norwitt: I think that is relative to two parts of the question. Relative to the commercial aviation market and it is correct that we have strength that both of the major aircraft makers in addition to many of the smaller regional jetliner manufacturers, so we have a very diversified base. The Boeing strike, you know will mean maybe that Boeing produces fewer planes, the relative to the long-term positions that we have gained and that we felt very good about having gained on next generation jetliners, you know can it means some delay in the launch of those planes, certainly it could, but that is not necessarily material to our guidance or to our outlook for the business. We feel very good in the long-term about our position on those plans and I am hopeful that at some point Boeing will resolve their strike and I am sure they will start to sell jetliners. I mean there are aircraft companies, who just this week are announcing new orders about for 787. I think the program itself will be very strong. Relative to military and the funding that is based on elections or otherwise, you know, we are not really in the business of trying to guess what those fundings will be. Certainly there can be fluctuations in the funding; nevertheless, we believe that they are still the imperatives in the military that we have talked about before. That there is a significant demand for repair and replacement of equipment and there continuous to be a pent-up demand for major programs, which had been delayed over the last five years during the war efforts, and those programs whether they be airplanes or radar communication systems or future combat systems and otherwise will have a future to them and when they do have their future Amphenol will have a very strong position in those programs.
Jim Suva – Citigroup: Great! Thank you very much everyone.
Martin H. Loeffler: Thank you.
Operator: William Stein from Credit Swiss, your line is open.
William Stein – Credit Suisse: Great! Thanks. Diana you still could bet about the company’s credit position and liquidity position that sounds great, and it was like there was no significant issue with receivables and quarter— Since the quarter closed have you seen any indication of any slow down in payments from customers? Any problems with receivables that you have seen today or that you are-think that you might see in the near future?
Diana G. Reardon: Yes, I mean I think that in times like these people are not keeping a close eye on the balance sheet. I think that there certainly is not anything that we have seen that would be big material to the company in that regard.
William Stein – Credit Suisse: Okay. And then, just quickly in the end market, again. Is it fair to say that looking at the Q3 results and Q4 guidance that maybe the big, the one, or should I say the most surprising thing would be that we saw somewhat of a pull-in or earlier demand for the holiday season build for handsets. So boosting this quarter results and maybe making Q4 a little bit lower than previously than previously expected. Is that a fair way to kind of summarize the biggest end market.
Martin H. Loeffler: Bill, I think this is not how or how the outlook is being presented. I like to really point out once more. We had a stronger third quarter than may have been pull-ins, we do not know about this, we still see mobile phone to be healthy at that point in time. We are forecasting a strong growth rate in the fourth quarter, exactly the same growth rate that we had forecasted in July. So we are not operationally changing our forecast in the fourth quarter compared to what we have done in July. The only thing that really has changed is that the currency exchange rate has offset the operational gains or sales gains that we had in the third quarter. I think it is very important to understand that our outlook from July, for the full year of this year has really not changed at all. We always had our mindset that at one point in time this year; third quarter, fourth quarter, there would be some demands slowdown. We had forecasted that all along. So there is no news relative to this. The only news there is that the currency against the euro went from 157 to 136. We had that significant impact on the outlook on the fourth quarter and is offsetting the gains that we have. And that we feel very, very good about that we do not, because of demands really changed our outlook, we are changing it only because of their currency.
William Stein – Credit Suisse: That is very helpful, thanks. Can I just get any brief comments on the competitive environments today and typically in this weak demand environments or perhaps what appear to be weakening demand environments, the better companies tend to take share and I am wondering if you can comment on that.
Martin H. Loeffler : Thank you for that question. We have certainly gained positions in good times. We have actually gained position even stronger in difficult times. If I go back to the years 2001, 2002, we have gained substantial market share. Our structure today, our foundation and our financial strength that we have today, allows us to continue to gain position in the marketplace. With the diversified prices that we have. I mean look at the situation, about half, 37% of our sales are in Asia, and 37% of our sales are now in North America. We have grown and moved to those markets that have the growth rates and we are still there and will continue to push this along. In addition, our technology will help us tremendously in this market where the customers are looking for performance enhancing solutions; we can provide these solutions moving forward. So we are excellently positioned from a product stand point, from a geographic stand point and from a corporate structure stand point to out-perform and to continue to out-perform the industry moving forward. Because, we will continue to be very, very much looking at the needs of our customers and servicing them rather then getting involved in the restructuring of our company.
William Stein – Credit Suisse: Great, thanks very much.
Martin H. Loeffler: Thank you.
Operator: Our next question comes from Amit Daryanani from RBC Capital.
Ryan Jones – RBC Capital: Hi, good morning. This is actually Ryan Jones I am in for Amit who is traveling. I was just wondering if you could talk about the dynamics you are seeing right now in automotive in Asia versus Europe versus North America.
R. Adam Norwitt: Yes, as I mentioned earlier that there has clearly been some moderation in the vehicle production levels and I think we have seen that moderation really on a global basis. Our automotive business has more of the business in Europe then in North America with some also in Asia and I think what we feel good about is our position in those customers have continued to grow and we feel very good about the outlook for the future in terms of electronics. But the vehicle production levels in all segments have some impact from financing as well as have some impact from the general economic conditions.
Ryan Jones – RBC Capital: Okay, that is helpful. And I just wanted to get one point of clarification. Diane, I believe you said in the beginning it is a billion dollar revolver that you currently have outstanding.
Diana G. Reardon: Yes.
Ryan Jones – RBC Capital: That is exclusive of the $250 million accordion, is that right?
Diana G. Reardon: Yes, that is correct.
Ryan Jones – RBC Capital: So, you could potentially flex that in 2009 should you need that cash.
Diana G. Reardon: We could potentially, but I would tell you that the bank market as it stands today I think the odds of doing that would probably be relatively low as the credit market stands right now today. I cannot speak to how they will be in 2009. It is a new credit process that the banks go through relative to that feature in the credit agreement.
Ryan Jones – RBC Capital: Okay, thank you very much.
Diana G. Reardon: You are welcome.
Operator: Our next question comes from Assaid Possey [ph 00:43:03] from UBS.
[Assaid Possey: Hi, can you hear me?
UBS]: Hi, can you hear me?
Operator: Yes, very well.
[Assaid Possey: Hi this Assaid Possey from UBS. My first question was I think you all listed 01, 02 downturn and conventional wisdom appears to be that this current environment we are in is unlikely to be as severe as the previous recession. So, I just wanted to get your prospective. You know, we have seen a pretty rapid deterioration in the environment and how you’re thinking about this downturn versus the previous downturn.
UBS]: Hi this Assaid Possey from UBS. My first question was I think you all listed 01, 02 downturn and conventional wisdom appears to be that this current environment we are in is unlikely to be as severe as the previous recession. So, I just wanted to get your prospective. You know, we have seen a pretty rapid deterioration in the environment and how you’re thinking about this downturn versus the previous downturn.
Martin H. Loeffler: Obviously we do not have the crystal ball of any sort here, however, the downturn in 2000 was really a very technology oriented bubble where we knew that many of our customers would have lower demand. And we knew where to focus and to prioritize because we knew where the problems were coming from. In this environment where we have a financial bubble, so to speak, or crisis, which is globally extended, there the situation is different because we do not know what the ripple effect of this financial situation is relative to our own customers, relative to the suppliers of these customers, relative to our competition. Obviously, there is more uncertainty then it was then. It was very clear that that was a technology bubble and what you have to do. This time it is somewhat different. What the ripple effects are going to be is to be seen and that the reason why we say that forecasting is difficult. And that is why we are saying we are well positioned to adjust rapidly to whatever is needed. We see, for example, in our mobile business a 50% increase, close to 45% increase in the third quarter over last while the mobile market itself, according to what Nokia has reported today is up about 10% this year. Which means clearly that we continue to gain market share. We may not grow as fast in the fourth quarter by 50%, but at 20%, 30% growth it is still a significantly higher growth then them even if it would be slower. So, we have to put it all in perspective where we are and I think we are well positioned to move forward strong and have a very strong outlook for the fourth quarter and we are confident for the future.
[Assaid Possey: Thank you, and just one follow-up question. I am just wondering as you talk to your distributors in the supply chain, are you hearing or beginning to see any impact of the credit crunch on them that is potentially impacting their ability to buy products from you
UBS]: Thank you, and just one follow-up question. I am just wondering as you talk to your distributors in the supply chain, are you hearing or beginning to see any impact of the credit crunch on them that is potentially impacting their ability to buy products from you
Martin H. Loeffler: This is a very good question. We have not seen the credit crunch in that sense that they would not buy inventory from us, but obviously there is a more conservative look at inventory taking or not taking in the distribution channel. That is prudent on their side; it is also prudent on our side because we do not know where the business is going up or down, so I think we are both prudent on that side to observe what the situation will be, and that will be healthy for both of us.
[Assaid Possey: Thank you. I’ll get back in the queue.
UBS]: Thank you. I’ll get back in the queue.
Martin H. Loeffler: Thank you.
Operator: Our next question comes from Jeff Beach of Stifel Nicolaus.
Jeffrey Beach – Stifel Nicolaus & Company, Inc.: Yes, good afternoon.
Martin H. Loeffler: Good afternoon.
Jeffrey Beach – Stifel Nicolaus & Company, Inc.: I’ve got two questions. One easy one: can you give us the dollar amount of acquired revenues? And then second, it appears as though you have had some good benefit in your mobile infrastructure and devices from the summer Olympics this year. Are you going to face some pretty tough comparisons as you go through 2009 in this business?
Diana G. Reardon : Just the first part of the question, if you look on a year over year basis, acquisitions added about 4 % to gross, and foreign exchange added about 2 %, so the organic growth rate is 12 % over the prior year for the quarter.
Jeffrey Beach – Stifel Nicolaus & Company, Inc.: Okay.
R. Adam Norwitt: And relative to the question about mobile infrastructure, I think initially, before the Olympics, many were saying that there would be a pre-Olympics slowdown and a post-Olympics acceleration and some said the opposite. I think in sum we have not necessarily seen such a meaningful impact. Our mobile infrastructure business has had benefits really on a global basis. We have seen a strength in Latin America; we have seen strength in India. We have seen some strength in China and strength also in other areas of the world. Our presence in mobile infrastructure is very broad-based. We are on all of the major platforms. We have seen good strengths on some of the local Chinese players as well in many of the third generation equipment. In China, there is also still the looming third generation investments that can happen, and so I believe, and we believe, that the outlook for that market is still quite a positive outlook.
Jeffrey Beach – Stifel Nicolaus & Company, Inc.: Alright. Thank you.
Martin H. Loeffler: Thank you.
Operator: Our next question comes from Sean Conner from FAS Advisors.
Sean Conners – FAS Advisers: Hi. Thanks for taking my question. I have just one quick question, and that is, looking at previous downturns, in your operating margins back in, like, 2001, they were down roughly 370 basis points from peak to trough, and then the last downturn, June ’05 to March ’06 you were down roughly 210 basis points. Did you look out over the next six to nine months in this current downturn— would you think that you would be able to manage your up-margins to even decline less, or do you think somewhere between the last two declines of roughly 210 to 400 is more realistic?
Martin H. Loeffler: We are certainly at this point in time not forecasting any of what could happen in 2009. I think it is a little bit premature. We are waiting in the fourth quarter how all the turmoil is shaking out. But in general I think it is not easy to compare the 2001 and this downturn because the majority of the downturn in 2001 happened in our cable business, and did not happen in our interconnect business. And interconnect business this time is much larger as a percent of the total than it was then. So direct comparisons would not be appropriate at that point in time. Obviously volume always can play a role on margin, but as I said, we have always an eye on the flexibility of our organization and will then be able to minimize any of volume changes or maximize leverage where it is appropriate to come out with very strong margins. We are starting at a very, very high base.
Sean Conners – FAS Advisers: I just want to follow up. If you can–just putting it a different way, would you say that your cost structure now has more or less fixed costs versus the last couple downturns?
Martin H. Loeffler: Our cost structure is very much flexible as it was then. It is actually more flexible today than it was then, because we have more in low cost areas than we had at the time when that started, because we just moved into these low cost areas where there is clearly more flexibility. But a direct comparison–we did not even make a direct comparison. We are looking more forward in what we have today and what we have to do in order to maximize our profitability.
Sean Conners – FAS Advisers: Great. Thank you so much for taking my call.
Operator: Our next question comes from Matt Sheerin from Thomas Weisel Partners.
Matthew Sheerin – Thomas Weisel Partners: Yes, thanks. I would actually like to go back to the question that everyone seems to be asking concerning your guidance, which is relatively very strong if you look at other suppliers, some quality semi-conductor companies, for instance that have already reported, that are looking at down 10 to 20 % quarters in Q4. Even with a very broad customer base, a lot of companies saying that they have seen orders fall off from OEMs and distribution in the last few weeks. You do not seem to be seeing that, Martin. And of course, you are one of the best companies in your sector, you have been taking share, et cetera. I understand that. I also know that the connectors companies tend to lag the cycle, lag behind semi-conductors and lag cycle. So I am just trying to get a sense of, is it market share, or will you perhaps see it later? Or basically just what is going on.
Martin H. Loeffler: Well, it is very difficult to know what is going on. We are not all of our competitors in the same segments and so forth, we do not have the same breadth of new product and so forth. So it is hard to compare. But what we know about ourselves is that we would not provide this strong forecast that we have at this point in time if we were not confident in achieving this, even if forecasting is very difficult, even if all is very unstable. But we are just very confident that we can adjust rapidly. We are confident in our new product deliveries that we have in front of us and in the markets that we are positioned. Not only diverse, but in markets that have still good growth potential. So I think, you know, this – these elements are still strong and working for us and therefore we have the confidence to make that outlook at this point in time.
Matthew Sheerin – Thomas Weisel Partners: Okay, great, and just follow-up for Diana regarding the weakness of the euro versus the dollar. You talked about the impact on revenue. Is there a commensurate impact on your costs there and is that equal to your revenue so that there would not be a negative impact on operating income? Or would there be?
Diana G. Reardon: I think if you think from an ROS standpoint there is not necessarily a negative impact from an ROS standpoint because the costs certainly have – are impacted by the same exchange issues that the sales are. So if you want to think about the operating income FX impacted about the average ROS percentage that would probably be close.
Matthew Sheerin – Thomas Weisel Partners: Okay. Thanks a lot.
Diana G. Reardon: Sure.
Martin H. Loeffler: Thank you.
Operator: Our next question comes from Brian White from Collins Stewart.
Brian White – Collins Stewart LLC: Yes, Martin when we look into the December quarter, you know, you are guiding down I guess 4 to 6% sales will decline and the currency impacts that. But what markets do you think will actually rise sequentially?
Martin H. Loeffler: Well obviously in total, if you look at the growth in the fourth quarter, you know, currency adjusted it is about 6% year-over-year. We still feel that the mobile phone business has, even if we are not forecasting by segment I give you just a general gist here. The mobile phone business still has potential for improving year-over-year and contributors, the military aerospace market has, certainly that currency. We are looking at the IT market. The only market where we believe that there will not be a contribution to growth is probably the automotive market. And that may have the most significant impact on the slower growth. But, you know, it is kind of tempering everywhere a little bit as we predicted it already in July, as we predicted it in April. I remember that, you know, at one point in time there would be a slower demand cycle and that is, you know, a little bit broader. But, you know, there is still pockets of growth that are very significant in the fourth quarter.
Brian White – Collins Stewart LLC: And Martin I just want to be clear. If you look at quarter to quarter growth do you think handsets will grow quarter to quarter?
Diana G. Reardon: No I think, Brian, from a sequential standpoint I would say that we are really not expecting to see any market segment have a sequential growth from an organic standpoint.
Brian White – Collins Stewart LLC: Okay.
Diana G. Reardon: Okay? I think handsets in particular, very strong in the third quarter and, you know, we would not think that we would see, you know, continued sequential growth in the fourth quarter.
Martin H. Loeffler: And idle growth really forecasted.
Diana G. Reardon: Sure, exactly.
Brian White – Collins Stewart LLC: And then when we think about just trends in October what did we see? Did the demand slow down? Was it kind of flat with September? Did it pick up? How do we think about the trends in October?
Martin H. Loeffler: Well October just has started and obviously we would not give that guidance three weeks into the month that we have. We would not feel that we can reach our goals. And usually the distribution in the fourth quarter is a little bit different than the distribution in the third quarter. In the third quarter we have usually a stronger September month while in the – obviously in this quarter October is an important month, a lot of work days until fourth and we are right on track so far with that guidance that we have given.
Brian White – Collins Stewart LLC: Okay. And just finally, Martin, you talked about new products. Where are you most excited and where do you have the winds that we should see the most ramp over the next, say, 6 to 12 months? In what market segments?
Martin H. Loeffler: Well you probably hear from my voice that I continue to be excited about it across the board. You know, demand environment in the various market segments may differ but I am excited that our focus on providing leading technology and technology interconnect solutions to our customers is across all these market segments. It is not just focused on one. And I think, you know, with the demand cycles that we have we see different growth rates. But a lot of that is driven by, you know, bringing these new solutions to our customers. And so I did not want to point out one or the other. Obviously, you know, if you have a 50%, 40% growth in mobile phones it is exciting. But, you know, in other areas where there is no growth or very moderate growth like in mobile infrastructure and we have the ability to grow 23% I can be equally excited about it and will continue to be excited about because we are well positioned in these emerging markets and with the technology and with the flexible cost structure across all of our market segments.
Brian White – Collins Stewart LLC: Okay, thank you.
Martin H. Loeffler: Thank you.
Operator: Our next question comes from Shawn Harrison from Longbow Research.
Shawn Harrison – Longbow Research : Hi, good afternoon. Getting back to the raw material environment, if you were to see, you know, metal prices hold at the current level and, you know, oil prices kind of stabilize here as well, when would you expect to see the benefit from, you know, lower raw material costs flow through your P&L?
R. Adam Norwitt: Yes, thanks very much for the question. I think, you know, as Martin explained earlier we have seen some mixed impact of raw materials so far. Obviously gold has not gone in the right direction and gold is a very significant component of an interconnect device and plastics also have seemed to go up rather than down. But there have been some moderation in materials such as metal. For us, as there is this conversion that happens to the materials there is a lag effect and we certainly see in our guidance that there may be some benefit of materials in the fourth quarter. And we hope to push our suppliers to get further benefit in the future. You should bear in mind that our customers are also not blind to the fact that raw materials are there nor are the competitors. So we would expect to see also further pricing pressure as raw materials become more relaxed. But our goal certainly is to capture as much as possible of the benefit of the raw materials reduction going forward. Very hard to pin exactly the date on which we will achieve that.
Shawn Harrison – Longbow Research : Okay, but it sounds like if things hold here maybe it is more of a 2009 potential benefit for you than –
Martin H. Loeffler: Well we are already guiding in the fourth quarter some improvement in our margins.
R. Adam Norwitt: On lower revenues.
Shawn Harrison – Longbow Research : Okay. And then just secondarily you had touched on the pricing dynamic. I do not believe most connector manufacturers are able to pass through the kind of the full impact of these rising raw material costs. So we should not expect, you know, to see, you know, a full roll off here on the way back down if raw materials, you know, continue to hold at these levels, correct?
R. Adam Norwitt: Now again it really depends on the type of customer and the market that you are in. With some customers you have annual contracts where there is even a very significant lag in terms of when you can adjust the pricing. But I think, you know, we will try at all costs to maintain pricing in those markets where we can and keep the greatest share that we can of the benefit of the raw materials.
Shawn Harrison – Longbow Research: Okay, thank you very much.
Martin H. Loeffler: Thank you.
Operator: Our next question comes from Carter Shoop from Deutsche Bank.
Carter Shoop – Deutsche Bank Securities: Good morning.
Martin H. Loeffler: Good afternoon. How are you?
Carter Shoop – Deutsche Bank Securities: Good afternoon to you all out there. I am doing fine thank you. Wanted to touch base on the cash balance. Diana, you mentioned that the majority of it is offshore right now. Could you help the listeners here on the call understand how much cash you need on the balance sheet now kind of for day-to-day operations given that a lot of cash is oversees?
Diana G. Reardon: Yes, we really do not need much cash for day-to-day operations. You know, we generate a tremendous amount of cash every year. So, you know, we have on any given day perhaps some small needs. But we do have the revolving credit facility here in the U.S. and some small amount of cash. And then we have cash in, you know, all of the countries that we operate in along with, in some cases, some small local credit facilities. But we – the business is not such that it needs a tremendous, you know, cash infusion from an operating standpoint. It is more of an issue of figuring out how to best deploy the cash that is generated by the business.
Carter Shoop – Deutsche Bank Securities: So theoretically we could see the balance sheet having about 50 million in cash if we were to deploy it elsewhere in the near term?
Diana G. Reardon: Well if you go back to, you know, prior to the time that when we used to repatriate all the cash back to the U.S. to pay debt down when the company was more highly leveraged, the cash balance was probably up around that size. You know, somewhere between 50 and 80 million roughly.
Carter Shoop – Deutsche Bank Securities: Okay. And I am trying to understand if we can get back to those levels even though we have a lot of cash now offshore.
Diana G. Reardon: I am not sure why we would want to necessarily get back to those levels when we have – I mean I think we would get back to those levels when we deploy the cash that we have in these other jurisdictions towards funding our acquisition program in those regions. I mean, the cash is being kept, you know, in areas that we do expect, you know, to make acquisitions with the tuck in acquisition program. That is an important part of the strategy. So I think that the reduction of the cash balance would most likely be in conjunction with the closing of a deal in that particular region.
Carter Shoop – Deutsche Bank Securities: Okay. That is helpful.
Diana G. Reardon: Okay.
Carter Shoop – Deutsche Bank Securities: As a follow-up question, can you maybe discuss what sort of actions if any you have taken or you are planning to take to incorporate for the deteriorating macro-economic outlook?
Martin H. Loeffler: Well if you are asking the question why do we have contingency plans in place, as I mentioned earlier, obviously Amphenol is number one, a very strong generative cash. That is already one thing. In this time, you know, cash is king and we generate a lot of cash. The other thing is that we are organized and structured in a way that allows us to be very flexible in adjusting to changing environments in every country that we are doing business. So we are not going to have across the board contingencies. But we are trying to maximize what we can right now as far as material is concerned, adjusting our, you know, expenses, head counts and so forth according to the needs of the business. Some businesses are growing. They need more resources and others are declining. They need less. We are structured to do this on an individual basis very quickly, rapidly and with low cost and low restructuring charges. We have done it, you know, over all these years and will continue to aim for that.
Carter Shoop – Deutsche Bank Securities: As a follow-up to that if I may, last question, when you look at the several potential full-time acquisitions which are in your pipeline, how many of those could you potentially close on over the next six months? Are there one or two deals that you are pretty far along in the negotiation process or is it more five or six?
Martin H. Loeffler: Well I would look – I would like to know this myself, you know. The thing is the challenge is always to know really when is the timing. We are, you know, as I mentioned, have a healthy pipeline. We have a lot of irons in the fire. When they ultimately close, you know, is very difficult to predict because, you know, they are, you know, as you know smaller companies where, you know, some smaller changes can have longer delays. And therefore to make a prediction would be difficult. But we are very confident and we have seen in the past that sometimes acquisitions come in a kind of a cluster. Sometimes you make more in a short period of time and then, you know, there is a period where there is not as many. So I am confident that there is opportunity to make some – close some of the acquisitions in the next six months.
Carter Shoop – Deutsche Bank Securities: Great. Thank you.
Martin H. Loeffler: Thank you.
Diana G. Reardon: We will take just one more question if there is one more.
Operator: I have no further questions, thank you.
Diana G. Reardon: That is great. Thank you very much.
Martin H. Loeffler: Well thank you very much for all, for your time, for listening to Amphenol’s progress. And we continue to be in touch with you as we move forward. Thank you very much and good bye.
Operator: Thank you for attending today’s conference and have a nice day.